Operator: Good day, and thank you for standing by. Welcome to the Q3 2025 Nu Skin Enterprises Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand over the conference to your first speaker today, B.G. Hunt, Vice President, Treasurer and Investor Relations. Please go ahead.
B.G. Hunt: Thanks, Dania, and good afternoon, everyone. I'm joined by Ryan Napierski, President and CEO; and James Thomas, CFO. We're excited to share Nu Skin's results from Q3 of 2025. Before I turn time over to Ryan, let me point out that on today's call, comments will be made that include forward-looking statements. These statements involve important risks and uncertainties, and actual results may differ materially from those discussed or anticipated. Please refer to today's earnings release and our SEC filings for a complete discussion of these risks. Also during the call, certain financial numbers may be discussed that differ from comparable numbers obtained in our financial statements. We believe these non-GAAP numbers assist in comparing period-to-period results in a more consistent manner. Please refer to our investor website, ir.nuskin.com for any required reconciliation of these non-GAAP numbers. And with that, I'd like to now turn the call over to Ryan.
Ryan Napierski: Thanks, B.G. Thanks, everybody, for joining the call today. I'm pleased to report that we delivered third quarter revenue of $364 million, which was within our guidance range. We also delivered EPS of $0.34 at the higher end of our guidance range, and I'm encouraged by our ability to maintain disciplined execution amidst ongoing macro environmental pressures that are impacting the industry. With 3 quarters behind us, we are now focused on Q4 as we further our vision of becoming the world's leading intelligent beauty, wellness and lifestyle leadership opportunity platform by preparing for our next big opportunities with the introduction of Prysm iO, our truly intelligent wellness platform and the premarket opening of India, which I'll come back to in just a few minutes. Latin America continued its exceptional growth trajectory, up 53% year-over-year. This is demonstrating the potential of our emerging market strategy, which is enabling us to reach a broader aspiring middle target market of entrepreneurs and customers. This growth was offset by continued challenges in North America, where we have been transforming our business model to address macro environmental landscape matters. However, I'm pleased to report sequential growth in Europe and Africa, South Korea, Southeast Asia Pacific and Hong Kong and Taiwan. In Mainland China, we're seeing improving trends as well across our KPIs as we introduced our Tru Face clinically backed skin care line and our Rhyz segment performed as anticipated with LifeDNA exceeding expectations. Now I'll return to our strategic priorities that we outlined for the year. Our top priority for the core Nu Skin business is to ignite the passion and energy of our highly committed and dedicated sales leaders with our next big opportunities. First, the introduction of Prysm iO, our truly intelligent wellness platform; and second, the expansion of our emerging market strategy into India as we seek to extend the Nu Skin opportunity to this exciting market. Our teams and sales leaders around the globe have been laying the groundwork for these 2 key introductions over the past few years, and we're excited to initiate both of them in a limited fashion this quarter with full-scale launches in 2026. Let me first share some updates on Prysm iO that include our proprietary health assessment device paired with our AI-powered intelligent insights app that helps consumers navigate their personal wellness journey. While premium beauty continues to be under pressure, the wellness industry and specifically the intelligent wellness market is expanding dramatically, and new entrants are rapidly expanding awareness about the importance of intelligent health and measuring biomarkers. According to Grand View Research, the intelligent wellness wearables market has been growing by double digits and reached $84 billion in 2024 as consumers desire greater insights into their overall well-being by measuring and tracking their internal biomarkers. And the total addressable market for nutritional supplements reached nearly $500 billion in 2024 and is expected to grow to over $700 billion by 2030 with very little ability to know whether these supplements actually work. Nu Skin is already regarded as the world's #1 beauty device systems brand according to Euromonitor, which is becoming an even greater strategic advantage within the beauty and wellness industries. Additionally, we hold more than 40 years of science-backed research and development in this space and more than 20 years of intelligent wellness research contained in our biophotonics scanner, including insights and trends from the aggregate of 21 million scans for more than 10 million people across more than 50 countries around the world. Combined, these competitive advantages place us in a very unique position to introduce Prysm iO, an entirely new noninvasive device that measures one skin carotenoids levels, providing people with valuable insights into their antioxidant status and nutritional health. With the rapid acceleration of Agentic AI, we're training our own proprietary language model, which will enable us to drive deep, actionable insights about our consumers' overall wellness and expand our ability to service customers as they navigate their personal wellness journey. Prysm iO and our intelligent wellness app provide personalized nutritional insights across the broader wellness journey, covering one's diet, fitness, oxidative stress and sleep and nutritional supplementation and generates personalized product solution recommendations. From a scalability perspective, this more portable form factor, ability to scan quickly and a more accessible price point for Prysm iO will enable us to place significantly more devices around the globe. We currently have approximately 1,500 biophotonics scanners in the field today, and we anticipate placing more than 10,000 Prysm iO units in Q4, with tens of thousands of units placed per quarter throughout 2026. From a business building perspective, the unit economics of Prysm iO are also incredibly compelling as our experience has shown that more customers being scanned leads directly to more subscriptions. Subscribed customers produce approximately 7x greater lifetime value than nonsubscribed customers, and we have more than 300,000 subscribed customers in any given month on our platform. We believe that Prysm iO will enable us to significantly expand our subscribed customer base in the coming years, which will further strengthen our sales force productivity as they lean in to drive this truly intelligent wellness movement around the world. Q4 sets the foundation for limited Prysm iO brand representative previews. And in early 2026, we will begin opening up sales via our sales leaders to their affiliates and customers. Full consumer launches are currently scheduled for the second half of the year. Our second strategic priority focuses on expanding our emerging market business model into India. With 1.4 billion people, India is one of the largest future opportunities for us globally, where there is a rapidly growing middle class segment of the market who need what we offer, to look, feel and live more empowered lives. We are entering India with a more focused and scalable business model based on our learnings in Latin America, which include a localized product portfolio priced for India's growing middle class, a refined compensation plan and a digital-first infrastructure with our India-based Infosys partners. We recently hired a dynamic local management team, and I'm excited to be kicking off our qualified premarket opening beginning next week with a multicity tour across India, working towards our full-scale opening anticipated in the back half of next year. I'm excited about the potential for India and our other emerging markets, which we anticipate will become a much larger part of our core business revenue in the coming years. Paired with these 2 exciting top line growth drivers, we remain focused on continuing to strengthen our financial performance and profitability across the business as we sustainably grow gross margin by optimizing our product portfolio, manage selling expense to ensure optimal rewards for our hard-working sales force and drive overall profitability across our business segments around the globe. We believe these initiatives will continue to strengthen our overall financial position and improve shareholder value in the quarters and years to come. So with that, I'll turn the time over to James to dive deeper into our financial performance and outlook for the remainder of the year. James?
James Thomas: Thank you, Ryan. Good afternoon, and thank you for joining us today. I'm pleased to provide an overview of our performance for the quarter, including key financial highlights, recent developments and our outlook for the remainder of 2025. I'll walk through our results, key business dynamics and how we continue to navigate the current macroeconomic environment with discipline and focus. I'll be speaking to adjusted non-GAAP financial measures as it pertains to our financial results. Reconciliations to the most directly comparable GAAP measures can be found on our Investor Relations website. For the third quarter, we delivered results consistent with our guidance range, reflecting continued operational discipline and financial resilience. Revenue came in at $364.2 million, with a 40 basis point headwind from foreign currency. Earnings per share was $0.34 at the high end of our guidance range, benefited by gross margin improvements and ongoing cost efficiency initiatives. Our gross margin for the quarter was 70.5% compared to 70.1% in the prior year, primarily due to the revenue mix between Rhyz entities and the Nu Skin core. Within our Nu Skin core business, gross margin was 77.7%, up 120 basis points from the prior year. We are continuing to see the benefits of our strategic portfolio optimization and product mix improvements within the core business. I want to highlight that this is our fifth consecutive quarter of adjusted gross margin improvement. Selling expense as a percentage of revenue was 35.8% for the quarter, a decline from 39% in the prior year, primarily reflecting the inclusion of our live conventions in the prior year compare. Within the core Nu Skin business, selling expense was 41.7%, consistent with our compensation plan alignment and leader engagement progress. Looking ahead, we expect selling expense in the core business to remain around 40% as we continue driving adoption of our enhanced compensation plan and focus our investments on initiatives that have the greatest impact on driving towards top line growth. General and administrative expenses remain well managed and aligned with our efficiency initiatives, market streamlining and technology optimization efforts. We remain committed to managing overhead expenses in line with revenue while maintaining an appropriately scaled cost structure given the fixed nature of these costs. Operating margin for the quarter was 5.9%, up from 4.2% in the prior year, which marks another quarter of year-over-year improvement as we execute against our long-term profitability objectives. We continue to strengthen our balance sheet and maintain a solid liquidity position. We closed the quarter with $252 million in cash and reduced total debt by $20 million, resulting in an expanded positive net cash position. Cash flow from operations was $27.7 million, reflecting disciplined working capital management and profitability. We returned approximately $3 million to shareholders through dividends during the quarter, repurchased $5 million in shares and have $152.4 million remaining under our current share repurchase authorization. Our capital allocation priorities remain consistent, investing in innovation and growth, maintaining a strong balance sheet while further delevering the business and returning capital to shareholders where appropriate. Looking ahead, we remain focused on executing our strategic priorities, driving profitability, advancing key innovations and setting the stage for growth acceleration in 2026. Our upcoming limited release of Prysm iO intelligent wellness device remains on track for Q4, representing a major milestone in our transformation toward personalized AI-powered wellness. We're also encouraged by the continued momentum in developing markets, particularly Latin America, which remains strong and by our premarket opening in India, where we're laying the groundwork for long-term success. Following the sale of Mavely, Rhyz continues to perform in line with expectations. Our Rhyz Manufacturing segment is on track for year-over-year growth, supported by strong partner demand and expanding capabilities. We are also evaluating opportunities with LifeDNA to maximize our return on investment. For the fourth quarter, we project revenue between $365 million to $400 million and earnings per share between $0.25 and $0.35 for the full year 2025 -- sorry, for the full year 2025, we narrowed our guidance range of revenue between $1.48 billion to $1.51 billion, while maintaining the high end of our earnings per share of $3.15 to $3.25 with adjusted earnings per share between $1.25 and $1.35. In conclusion, we remain confident in our strategic direction focused on disciplined execution, innovation-driven growth and creating long-term shareholder value. And with that, operator, we'll now open up the call for questions.
Operator: [Operator Instructions] Our first question comes from the line of Dave Storms of Stonegate.
David Storms: I wanted to start with the full year guidance. It looks like since last quarter, you brought down the top end of revenue but brought up the low end of EPS kind of tightening that range, which makes sense relative to how your 3Q results came in relative to guidance for that. I guess I'd really like to ask what are the puts and takes here? What's really been working between the price versus volume mix, operational efficiencies? I was hoping to just spend a little more time there.
Ryan Napierski: Yes. I'm happy to talk, Dave, more kind of strategy to plan and James can pitch in as well here. Yes, so definitely just trying to narrow the range kind of based upon Q3 results and what we're seeing in Q4. I think the 2 biggest considerations for us on the front end of the plan are how will the adoption of Prysm iO into the business really impact our driving KPIs, really sales leaders and customers as it comes to market kind of mid- to late Q4. And so we obviously are timing these introductions region by region. And so based upon the ability to get the devices into the market and all of that. So that's probably some of the level of question there that we're evaluating. And then, of course, India, as we're going out and really starting to acquire revenue there late next week. So this is kind of real-time activity. I'll be there with James and our team kind of doing this premarket opening tour. So we're really just getting going. And India just is one of those markets that has enormous potential, but it's also a new market for us that we're going to have to learn in the emerging middle space. And so I think those are the 2 kind of big considerations on the front end that we're evaluating there. I would just mention on profitability. I'm really pleased with James and our organization around the globe to really manage costs. I mean, growing that gross margin 5 quarters in a row, managing selling expense in that optimal level and then improving profitability during a more difficult time has been a big undertaking. And so -- but I think that earnings opportunity there continues to be good for us. But those are from my point of view. James, anything else you'd add on? Puts and takes?
James Thomas: Yes. Dave, I'd just echo Ryan's comments on where we're really succeeding in that gross margin improvement. A lot of the -- it's been a long turn in terms of all the moves that have been made, and it's been consistently across the 50 different markets that we -- approximately 50 different markets that we operate in. And so it's been a strategic design around going after and doing that. It's also been around strategic product positioning around the world in terms of what we're pushing forward to help with product mix and what our sales force is ready to push forward. And so it's that. It's also -- some improvements in selling expense, working to push those towards our highest returning initiatives. And then obviously, in our G&A, we're down dollars year-over-year. We continue to look at that. Those are fixed cost in nature. And so we're always continuing to evaluate ways to find greater efficiencies, and that's led to us expanding our earnings guidance last quarter, and we did move up the low end on our earnings in the Q4 guide for Q3 performance and feel really good about our performance to date in terms of profitability.
David Storms: That's great color. I appreciate that. Sticking maybe, Ryan, going back to India. I know you mentioned you guys are going to be over there shortly with the soft opening. Kind of can you help us get a more clear picture on what the final launch logistics are like there? I'm sure you might not know this at this time, but India is an enormous market opportunity for you guys just by population alone. I got to imagine there's going to be markets within markets over there. How are you guys thinking about maybe segmenting that opportunity?
Ryan Napierski: Yes, Dave, this, I think, is a really important question because the way we're opening India is unlike anything we've opened before in our other 40-plus markets. We really have been deliberate in learning the local market, both with our partners as well as our local team there. And so we're initiating this -- what we're calling a pre-market opening period where we will actually begin to acquire revenues and build our sales force out there. And so that's very different from what we've historically done where we wait until a launch and then actually go full scale. So -- and the intent behind that is exactly what you described. The markets within markets in India and within India, when we're dealing with Mumbai and Delhi alone or Coimbatore when you go further northwest, they're all somewhat -- versus the South, Southeast, they're all fairly unique in nature. And so our plan, as we go over for the multi-city tour, we begin to acquire -- conduct business and learn the market, it will be -- it will give us the insights that we'll then be able to understand how to go -- how and where to go more aggressively. Because we are going forward with a digital-first model, meaning that we're really minimizing bricks and mortar, we're locally manufacturing, but we're using our Infosys partnership and Infosys is one of the largest digital firms based out of India. They've been very helpful to us. We're able to really scale the operation in a pretty variable manner and put the focus where it needs to be based upon the business that we're introducing there. One other differentiation, I would say is that we're going in -- historically, we've only gone in with skin care. That's been our opening model. And we are actually going into India with skin care, including a local line of product called Serenu, which is a professional line built for salon like use, which is very important in beauty as well as the nutrition side of our business. So we'll be bringing Prysm iO in with some of our Pharmanex, locally adjusted Pharmanex products on the nutrition line. So there are several interesting factors there. We have very little built into the model for Q4 just because we really want to learn our way. And so that's kind of how we're looking at it.
David Storms: Sounds like a really full-scale operation. Thinking about domestic markets here in North America. You mentioned you're doing a little bit of restructuring here. Any correlation to that with the current government shutdown. I guess kind of what inning are we in with some of that revamp? And have you seen any of that be impacted by the shutdown in the United States?
Ryan Napierski: Yes. Yes, North America has been less impacted by the shutdown itself at the government level. But I would say that from an industry point of view, ongoing regulatory work within direct selling has been something that we look at pretty closely. We want to make sure that our model is always highly compliant. What I'm referring to or what I referred to from a macro perspective is more related to direct selling continuing to evolve kind of post COVID. During COVID, everyone was really locked down in our homes, a lot of spare time and online shopping, of course, went crazy because people couldn't get into stores. And that was really good for not only Nu Skin, but the direct selling world as well as just generally social commerce. I think over the last 3 years, beauty has gotten very crowded in the social space. If you think about the number of influencer-based social beauty brands that have -- and down, frankly, most that go up are going down pretty quickly thereafter. That's kind of created a lot of noise in the social marketplace, where Nu Skin in North America has been quite heavy. And so for us, as we look to North America and refining our business model there, we're really looking into, of course, beauty will continue to be very important for us. Social commerce, very important. It's primary outlet for our awareness and engagement business here. But we are leaning more into this intelligent wellness market. And I'm sure as you do as well, intelligent wellness is just really blowing up. Over the last 3 years, a lot of wearable business is coming out of the woodworks it seems, a lot of social brands there that are blowing up podcasters like the Peter Attia, the Andrew Huberman, they're spending a lot of time on biomarkers and the importance of understanding these elements for longevity. And so for us, where we have historically been an integrated beauty and wellness business, meaning roughly half of our business was beauty, half of it was wellness. In the U.S., over the last 4 or 5 years, it's skewed heavily towards beauty because of the social commerce surge. We now see moving forward, a rebalancing of our business, and we see the intelligent wellness side with Prysm iO, with our AI-powered app, just really hitting the sweet spot in the intelligent -- that $84 billion intelligent wellness market. I think it's going to play really well in North America and around the world. What I equally as interested in is many of our social -- our female social leaders who drove our social brand over the course of the last 5 to 7 years are finding a lot of interest in this intelligent wellness device because of the health tracking or wellness tracking that this Prysm iO can do for their families. And so we're seeing this Prysm iO in our test marketing being utilized as kind of almost like a scale at the home where we have children scanning, couples or partner scanning. And so it's becoming more of a family based effort, not only an individual wearable effort. So I think those things combined are going to put us in a position to be able to level this market and then really grow it because long term, we see North America is continuing to lead both premium beauty and wellness.
David Storms: That makes a lot of sense. One more, if I could just sneak one in here. Southeast Asia saw strong sequential growth. It's kind of a sequential standout here at a revenue level. Would just love to get your thoughts maybe a little more about what drove that and if there's any more to that story.
Ryan Napierski: Yes. Southeast Asia has been interesting for us because it is such a diverse marketplace of individual countries. And so you have markets like the Pacific that has done extremely well over the last several months, great growth coming out of Pacific, which is Australia, New Zealand and the islands around that area. So they've done really well. We have a new business sales performance plan that has really worked well there. And then they have some very international tentacles from the Pacific that reach into other parts of the world. Other parts like Indonesia, which is our largest market in Southeast Asia and probably holds the greatest potential with such a large population where we're continuing to find and find our way through to local populations there, and we see some ebbs and flows in that business. Other markets like Malaysia doing very well, Singapore doing well. And then you have Thailand and Philippines that are kind of holding back a little bit. So it is a little bit of a mix in the markets. I think what you're seeing on the sequential data is a lot of growth from Pacific that's helping out and then South -- Singapore doing well, Malaysia doing better and the like. So again, we look forward to what will Prysm iO do in that business. We have a very strong TR90 business, which is our body transformation or body shaping system. That's done really well in Southeast Asia and is very complementary towards our Prysm iO and the wellness side of the business that we think this will further strengthen as well.
Operator: I am now showing no further questions at this time. I would now like to turn it back to Ryan Napierski, CEO, for closing remarks.
Ryan Napierski: No, that's great. Thank you very much for joining our call today. We here are charging forward into a new era of potential for Nu Skin as we further progress our vision of becoming the world's leading intelligent beauty, wellness and lifestyle leadership opportunity platform, beginning with the introduction of Prysm iO and our Truly Intelligent Wellness initiative this quarter and leading into 2026. As we look forward to extending Nu Skin's reach into India in the coming year, we're excited about this and the enormous potential that India holds for us as we learn how to benefit the people of India with what we have to offer. So while the broader beauty industry remains somewhat lost in the macroeconomic uncertainties, we are very clear on the pathway forward for us in leading this truly intelligent wellness movement based upon our 40-year history in the beauty and wellness space. And in a very distracted world of affiliate marketing where it seems that every other brand is seeking to capture the attention of influencers on social media, our dedicated to committed global sales force is our greatest strength, and we'll be leveraging them to achieve our vision moving forward. The rest of this year and into early '26 is all about aligning our teams around the world, building support, connectivity and excitement to set the stage for a return to growth and improved profitability. So with that, we'll keep you updated along the way as we go through this dynamic journey, and thanks for joining our call.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.